Operator: Ladies and gentlemen, good afternoon. Welcome everyone to the BlackRock TCP Capital Corp's Second Quarter 2021 Earnings Conference Call. Today's conference call is being recorded for replay purposes.  During the presentation, all participants will be in a listen-only mode. A question-and-answer session will follow the Company's formal remarks.   And now, I would like to turn the call over to Katie McGlynn, Director of the BlackRock TCP Capital Corp, Global Investor Relations team. Katie, please proceed.
Katie McGlynn: Thank you Matt. Before we begin, I'll note that this conference call may contain forward-looking statements based on the estimates and assumptions of management at the time of such statements and are not guarantees of future performance.  Forward-looking statements may involve risks and uncertainties and actual results could differ materially from those projected. Any forward-looking statements made on this call are made as of today, and are subject to change without notice.  Earlier today, we issued our earnings release for the Second Quarter ended June 30, 2021. We also posted a supplemental earnings presentation to our website at tcpcapital.com. To see the slide presentation, which we will refer to on today's call please click on the Investor Relations link and select events and presentations.  These documents should be reviewed in conjunction with the Company's Form 10-Q which was filed with the SEC earlier today. I will now turn the call over to our Chairman and CEO, Howard Levkowitz.
Howard Levkowitz: Thank you, Katie. And thank you all for joining us today. We appreciate your continued interest in TCPC, and we hope you are safe and well. There are several members of the TCPC team on the call with us today, including our President and Chief Operating Officer, Raj Vig and our Chief Financial Officer, Erik Cuellar.  I will start with a few highlights from the second quarter. Raj will then provide an update on our portfolio on investment activity. Next, Erik will review our financial results, as well as our capital and liquidity positioning.  After that, I will provide some closing comments before opening the call to your questions. Beginning with highlights from our second quarter, TCPC delivered another strong quarter of results-driven by a meaningful increase in the value of our portfolio investments, which drove significant net asset value growth, as well as outstanding credit quality and robust deployment.  In the second quarter, our net asset value increased 4.8%, and the year-over-year, net asset value is up 16.4%. This is our fifth consecutive quarter of net asset value increases, and builds on the positive net asset value accretion we had during 2020, a result of which we are extremely proud.  As Eric will discuss in more detail, the increase in Net Asset Value in Q2 was primarily driven by a $41 million unrealized gain on our investment in Edmentum. Together with more modest increases in value across the portfolio.  Net investment income in the quarter was $17.8 million or $0.31 per share, which again exceeded our dividend of $0.30 per share. Our credit quality remains solid with loans to just two portfolio companies on nonaccrual totaling 30 Basis points to the portfolio at fair value and 70 basis points at cost. 
Rajneesh Vig: Thanks, Howard. Let me first take a moment to recognize Howard's significant contributions to our team and to TCPC. Howard has been a well-recognized leader in our industry and a key architect in building what is now the U.S. private capital business at BlackRock.  Phil and I greatly appreciate our long-standing partnership with Howard, and we are extremely proud of the team of talented investment professionals we have attracted and developed. Also, I greatly appreciate the board's confidence in appointing me as chairman and CEO along with Phil and the rest of TCP's leadership team I look forward to continuing our track record of success.  Now, turning to our portfolio, positioning and investment activity during the Second Quarter. At Quarter-end, our portfolio had a fair-market value in excess of $1.8 billion and an increase of nearly $100 million from the prior quarter. 88% of our investments are senior secured debt, and are spread across a wide range of industries, providing portfolio diversity and minimizing concentration risk.  Our portfolio is also weighted towards companies with established business models in less cyclical industries. The portfolio remains diverse at quarter-end and was made up of investments in 108 companies.  As the chart on the left side of slide 6 shows of the presentation, our recurring income is spread broadly across our portfolio and is not reliant on income from any one Company. In fact, over half of our portfolio companies each contribute less than 1% to our recurring income. 87% of our debt investments are first-lane, providing significant downside protection, and 94% of our debt investments a floating rate, positioning us well for when interest rates eventually rise. Moving onto our investment activity.  In our view, many of the competitive market dynamics that existed prior to the pandemic have resurfaced. However, an increasing number of middle-market companies continue to seek private credit solutions due to their more tailored and flexible financing options, leading to investment opportunity.  We continue to source a wide range of investment opportunities, leveraging the relationships we've developed over 2 decades, our deep industry expertise, and the breadth and depth of the resources available to us across BlackRock's global credit platform.  While we have been actively deploying capital in this market, we always maintain a disciplined approach to investing. And while we regularly review a substantial number of opportunities, we end up investing in only a small percentage of them. Investment exit at the end of second quarter was robust. 
Erik Cuellar: Thank you, Raj, appreciate that. Turning to our financial results for the Second Quarter, we generated net investment income of $0.31 per share, which exceeded our dividend of $0.30 per share. We're committed to paying a sustainable dividend that is fully covered by net investment income as we have done every Quarter since our IPO in 2012.  Today, we declared a Third Quarter dividend of $0.30 per share. Investment income for the Second Quarter was $0.72 per share. This included recurring cash interest of $0.61, recurring discount and fee amortization of $0.03, and PIK income of $0.02. Notably, PIK income is at a lowest level in more than 3 years.  As a reminder, our income recognition follows our conservative policy of generally amortizing upfront economics over the life of an investment, rather than recognizing all of it at the time the investment is made.  Risks and income also included a penny of other income. $0.03 of dividend income and $0.03 from accelerated OID and exit fees. Dividend income in the Second Quarter included $1.1 million or $0.02 per share of recurring dividend income on our equity investment in Edmentum.  Operating expenses for the Second Quarter were $0.33 per share and included interest and other debt expenses of $0.19 per share. Incentive fees in the Quarter, which included $0.6 million of previously deferred fees totaled $4.5 million or $0.08 per share for total Net Investment Income of $0.31 per share.  As we have previously noted, we voluntarily deferred incentive fees related to our income from 2020 over a period of 6 quarters, with the final amount to be recognized in the third quarter of this year, subject to our cumulative performance remaining above the hurdle.  Our net increase in net assets for the quarter was $55 million or $0.95 per share, which included net unrealized gains of $37 million or $0.65 per share and net realized losses of $0.2 million or less than a penny per share.  Unrealized gains primarily reflected a $40.7 million gain on our investment in Edmentum, as a result of an additional equity investment committed to the Company in the second quarter. Edmentum continues to benefit from the dramatic increase in demand for online education. 
Howard Levkowitz: Thanks, Erik. In closing, I would like to thank our entire team for their hard work and dedication over the years. I'm incredibly proud of the team and the Company we built. I would also like to thank our investors for their trust and support over the years.  As many of you know, TCPC 's predecessor vehicle dates back to 2000, 21 years ago. And I'm grateful and appreciative that a number of those investors are still invested in the fund today. The results we have delivered for our shareholders over the years have truly been a team effort.  Raj and Phil have both worked alongside me for more than 15 years and most of our senior investment professionals have worked with us for well over a decade. I have every confidence in this team going forward and their ability to continue to deliver the results that TCPC Shareholder have come to expect. And with that, operator, please open the call for questions.
Operator:  At this time, we will pause momentarily to assemble our roster. Our first question will come from Robert Dodd with Raymond James. Please go ahead.
Robert Dodd: Hi, guys. And first I would like to say thanks to Howard for probably a decade of help in understanding the space and good luck with whatever your future endeavors are. Thanks for all the assistance over the years on that, Howard. And then on to the question. I mean, just competitively, obviously, a very active Second Quarter, more active in this Second Quarter than the Fourth Quarter last year, which is a theme we're seeing.  Is that the results of that activity, or there's a consequence of that? Is competition shifting materially or  spreading have come back to pre-COVID, but anything else on terms or general dynamics, given we've gotten extremely active both  obviously, the origination opportunities for the amount of capital  of -- any  you can give us ?
Howard Levkowitz: Sure. Robert, thank you for your comments. First of all, I've truly enjoyed the relationship as well. Let me say a few brief things and then I'll turn it over to Raj to respond further. Our origination activity has always been somewhat lumpy.  We have a platform that's diverse, that's industry-focused, that creates a wide variety of opportunities in all environments; good markets, bad markets, and I think that's one of the things that has distinguished our business. Clearly we benefit also from being part of the large origination platform here at BlackRock.  But we've been able to generate deal flow in all kinds of environments. Raj should probably -- it would be helpful if you add some things specifically about the competitive environment we're seeing today.  But I do think it's important to remember that we have this diversity of origination streams that I think are a little bit distinct for many of the others in the business.
Rajneesh Vig: Yeah. And I'd echo Robert, your thanks to Howard again and appreciate your comments. But let me just touch a little bit more on the competitive environment. I would say, the fact that it's competitive is not new. I think that's been the case as people have been attracted to the returns and the opportunity set.  I do think though that the -- what it takes to compete particularly at this level and to be maintaining or improving the position as a fulsome solutions provider that people can go to for all -- for their needs.  Even if you don't end up doing the deals on your own, being positioned to be able to do that and provide a solution is as important as it's ever been, maybe more important. Part of that means you need to have the right capital base.  Part of it means you really need to be able to move quickly. The velocity of transactions seems to have picked up, as well as the interest level. And given our approach, we've always taken the approach of coming at it from an industry point of view, having a broader platform and the ability to provide a fulsome solution, isn't necessarily different, but it perhaps maybe more important.  And there is an ability for -- even though there's more competition not everyone can do that. And I think that does lead to an ongoing opportunity set that we're excited about. Hopefully that provides some more color.  But this Quarter was a good -- I think good evidence of being able to do that given where we were, a sole lender or maybe part of a small club that is the overall characteristic or investment activity. And I think that does result from being well-positioned in that context that I just laid out.
Robert Dodd: Understood. And if I can follow up to that in -- to Howard's point. But you've typically had maybe a wider funnel than a lot of others. You do a lot of things beyond plain vanilla cash flow lending, the asset-backed, etc.  Would you expect if the level of competition stays enhanced, with all the caveats that you add, Raj, Would you expect to maybe element -- a greater element of your portfolio to come from those differentiated channels, rather than just doing the lack of a better term -- a vanilla cash flow lending club deal?  Would you expect to utilize more of your differentiated channel or do you expect it to just stay the same?
Rajneesh Vig: I think it's hard to say. I think our focus has always been on -- we know we really are channel-agnostic. So if that happens, I believe we're about positioned because we do cover the industries themselves. We have good coverage of private equity, folks that we work with, not everyone but the ones we work with.  We do a lot of repeat business. And then we find pockets of value when those arrive, like the ARR deals, we were early in that space. The ABL or asset-backed structures were at appropriate. We're open to that. It's hard to predict that becomes the mainstay. I think, rather than trying to predict it or being smart enough to predict that, we want to be positioned to take advantage of wherever those deal flow comes from.  And approaching things with an industry lens and being very cognizant of what we think -- what risk and reward work for us should helpfully let us take advantage of a wider funnel wherever the concentration occurs on go-forward basis.
Robert Dodd: I'm just good, I appreciate that. Thank you.
Howard Levkowitz: Thank you.
Operator: Our next question will come from Finian O'Shea with Wells Fargo. Please go ahead.
Finian O’Shea: Hey, everyone. Good afternoon. And I'll first echo Robert's congratulatory , appreciate the comments on your leadership powered on for the BDC or we'll add one on there. You were one of the parts of the pioneering group of the credit look back, but now your peers  must adapt.  We very much appreciate that. And I'll move on to a couple of questions, also in the discussion of growth in origination, and so forth. I first wanted to ask on the fundraising side a couple of your -- a couple of the large alternative managers, I think BlackRock's trying to be a large alternative manager as well in some sense, are really stepping up the fundraising game into the retail channels and that's really driving a lot of this competition.  Do you believe or in your view should and will BlackRock be entering into that fundraising race that we see is really stepping up at this time?
Howard Levkowitz: Fin, thanks for the comments, both personally and I think much more importantly for what we've done institutionally with respect to the look back for those of you who are newer to joining us, when we took TCPC public, it was a private investment vehicle and we left in place it's an institutional structure with respect to look back it's something we're very proud of and believe in.  With respect to competition in the industry, they're constantly new sources of people coming into this business. The public vehicles, private vehicles, registered vehicles, unregistered vehicles.  Different sources of investors, domestic, foreign, institutional, retail. I think your comments and questions around the push by other people into the retail or high - net -worth channel are interesting.  Obviously, as Global Asset Manager of BlackRock's size, we had touch investors across every different aspect and we're always looking to try and make sure we're doing the right thing for our investors over time.  With respect to TCPC, we think it provides a great opportunity for all investors, institutional, and individuals. And those who need daily liquidity as well as those who have been with us for now 2 decades to get that product.  And we'll continue to probably see people offering different things in different channels, but we're really focused on making sure that we can do the right things for our investors in TCPC.
Finian O’Shea: That's helpful and I'll just do a small follow-up. I think Erik gives some color on Edmentum post-quarter. Are you able to tell us if your exit is related to debt or equity or both?
Erik Cuellar: Sorry. Can you repeat that? You faded a little bit. I think you asked about Edmentum and the exit and what the exit was comprised of?
Finian O’Shea: Yeah. Did you get out of debt or equity for your book?
Erik Cuellar: It was all equity at the moment -- We have only are invested in the equity at this point since 3 and last Quarter.
Rajneesh Vig: Yeah, just to be clear, the -- when we did the original transaction, we had -- when the sponsors came in, we post that time we have only been in equity, the balance sheet was refinanced. And to Erik's point that sells down was of that equity position.
Finian O’Shea: Okay. That's all for me. Thanks so much.
Operator: Our next question will come from Ryan Lynch with KBW. Please go ahead.
Ryan Lynch: Good morning, there, and I just want to congratulate or give Howard, you -- best wishes. I really enjoyed working with you over the years and congratulations to you, Raj, on promotion. Following up on Fin's question regarding Edmentum, can you repeat in your comments there?  I believe you said you had a $1.2 million of recurring income in the second quarter-over-quarter from  -- that investment. Can you talk about -- was that a non-recurring item? Should we expect future income from Edmentum?  And then how does that look regarding post-sale of a portion of your position, as well as on top of that, when you sold down a 1/3 of your position, how did that amount come about? Why was it not a full exit or why did you guys not choose to hold all? Why did you guys just right size it down to just selling off 1/3?
Erik Cuellar: Sure, I'll address. This is Erik, I'll address the dividend question first. It is a recurring dividend income. We actually -- we're invested both in a preferred equity tranche and then the common equity as well. And as you recall, last Quarter we had a somewhat elevated level of dividend income, but this was more normalized recurring. But as you mentioned, we did sell down a portion of that equity position.
Rajneesh Vig: Yeah. And let me pick up on that. So as Erik mentioned, the nice thing is we -- this comes as a result of a nice run-up in the valuation, and I also realized getting part at those elevated valuations.  The benefit here is we can take that -- those proceeds and obviously redeploy it into our more normative investment profile for interest income. We do believe, obviously, as part of a sell-down, that it was important to manage the position size. Being an equity owner of a business is not the normative strategy.  Doing so as a way to really fully realize the work effort and the benefits of that work and the position was part of the sell-down philosophy. But at the same time, we are still excited about the business. It's well-positioned.  There's been a lot of work to get it to where it is today. I do think there are ongoing positive wins into sales, so to speak, for the business. You have new institutional investors who have come in, as well as part of this transaction.  So we want to be a part of that success on an ongoing basis, but we want to balance it with what the core part of the strategy is, as well as managing a diverse and well-diversified book with the growth net position. And that is a combination of things that led us to partially exit, take some chips off the table, but also be a part of the future success of the business.
Ryan Lynch: Okay. Understood. And then I believe you mentioned out of your new origination this quarter, 16 came from new portfolio companies and 3 came from existing. If that is correct, it feels like a lot of direct lenders over the past year have been meaning more into existing portfolio companies as they find additional capital deployment.  You all -- and again, I don't want to draw too many conclusions on one single-core because I know things can fluctuate but you flipped that trend this Quarter and really focusing a lot on new portfolio companies for deployment. I'd love to hear your commentary on why there was such a large number of new portfolio companies this Quarter versus existing ones.
A –Howard Levkowitz: Ryan, thanks for the follow-up, and also thanks for your initial comments. Truly have enjoyed working with you as well. I'm going to let Raj give you a little bit more granularity but would like to emphasize your statement which is, don't pay too much attention to a single Quarter.  For a number of years now we've talked about the fact that we have the benefit of doing a significant part of our business with existing borrower relationships and that has been running well over half.  The fact that for a particular Quarter there's a slightly different relationship is in our view, not indicative of a new trend, it's simply a small set of datasets. This Quarter, we continue to benefit from having these long-term robust relationships with lots of existing companies, across a lot of industries, and it's a very important part of our deal flow.
Rajneesh Vig: Yeah. I mean -- I think just to reiterate Howard's usual commentary about new notes, no single quarter is indicative of a trend. We're going to keep that – that  even as in the Forex, but it's true.  I mean, there is no single quarter or quarter-to-date period I think typify the trend. I would highlight or reiterate that over the past year or so, about a third of our investment activity has come from the existing portfolio.  And I think that is really the message that at a level where you have a mature portfolio and business model, there is a benefit from the existing relationships and the existing portfolio itself to self-generate leads.  And we have seen that with more consistency versus the data point of this quarter. And I expect that would continue just given how we view the pipeline, the performance over the last year, and just the general level of maturity in our business.
Erik Cuellar: And Ryan, I'll just add a little bit of color on the activity post-quarter end, we mentioned we've done 5 deals in excess of $60 million and 3 of those 5 were to existing portfolio companies.
Ryan Lynch: Okay. Understood, yes. And I totally understand that the one quarter doesn't make a trend but it was just a little bit unusual, but it sounds like things probably reverted back to normal going forward. Those are all my questions. I appreciate the time today.
A –Howard Levkowitz: Thank you.
Operator: Our next question will come from Devin Ryan with JMP Securities. Please go ahead.
Rajneesh Vig: Hello?
Operator: Kevin has dropped off. Our next question will come from Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Howard, I want to congratulate you on your move. And you are definitely a class act in the BDC world and you will be missed. And I want to say to Raj, Erik, and Phil, congratulations on the new promotions. Raj, is there going to be any sort of strategy in terms of shifting to other types of industry groups than what we've seen before?
Rajneesh Vig: I would say at a high level. No, not really. I think what we like about the business and experience we've had to date is that I believe what we do and where we focus works. Certainly, 2020 was a great -- very good validating timeframe to be defensive.  Occasionally, we see opportunities in businesses that perhaps are a little more cyclical than what we typically invest in but there are often times we're focusing more on asset base for collateral mitigating that business dynamic.  But to answer your question in a more succinct way, I don't see it. We would not anticipate a big change in the strategy, alhough we're always very open to being open to good opportunities where they come from.
Christopher Nolan: And I guess as a follow-up, given that your cost to capital is going down especially with that latest bond race. Are you finding that you're able to compete more attractively on price but make it up on better terms and conditions?
Rajneesh Vig: We -- I think that's a good outcome of a lower cost to the capital on the financing side but to be honest, when we look at our investing activity or make our underwriting decisions, we are bifurcating that from the financing decisions.  We really want the investment to work on an unlevered basis for the perceived level of risk. And then the financing is more portfolio management versus creating an investment capacity where it may or may not work otherwise. I think it's something we will be opportunistic about, but I would keep that viewpoint that it's separate from the investment decision.
Christopher Nolan: All right. Thank you and congratulations to all of you, guys.
A –Howard Levkowitz: Chris, thank you, and really appreciate your comments.
Operator: Our next question will come from Derek Hewett with Bank of America. Please go ahead.
Derek Hewett: Good morning, everyone. I also want to congratulate Howard on your pending retirement and then also Raj, , and Erik on your new roles. So it's been about 3 years now on the BlackRock platform.  So what percentage of the current portfolio is co-investment opportunities with BKCC at this point? And maybe, could we kind of compare it to maybe 1 year ago?
Rajneesh Vig: I would say -- so keep in mind BKCC is under our co-investment order. By definition, from the day we started to today, it will be a higher percentage. We don't disclose the percentage of the overlap, but just logically, that activity has obviously been a function of the requirements of that order. But -- I'm sorry, the second part of your question was, can you repeat that?
Derek Hewett: Just comparing it from one year ago, but I think you already answered.
Rajneesh Vig: I don't think going back to the beginning of our transaction, clearly higher, going back a year ago, again, being constrained by disclosures, I wouldn't want to make that comment.
A –Howard Levkowitz: Derek, and let me just add one thing onto what Raj is saying, which is we have had exemptive relief for over 15 years. So long before we became part of BlackRock and clearly being part of BlackRock there were a lot of propper opportunities in entities.  But we have for a very long time and certainly long since before TCPC was public, functioned in a way that we were investing across our various vehicles and had the benefit of being able to do that. So this is nothing new, it's expanded, but not new or different.
Derek Hewett: Okay. Great. Thank you.
A –Howard Levkowitz: Thank you. And thank you for your comments at the beginning as well.
Operator:  Our next question will come from Devin Ryan with JMP Securities. Please go ahead.
Devin Ryan: Great. Good afternoon, everyone, and Howard, yet again, best wishes on future endeavors. And Raj, congratulations. Great to see the continuity of the strategy, so looking forward to working more with you.  In terms of the first question and a little bit of a follow-up just on the competitive dynamics that you guys are seeing. Clearly, the pendulum swung out during the pandemic, with the dislocation in the markets and created maybe some outsized opportunities at the moment.  But as the pendulum has been coming back to the middle as macro stress ease, does it feel like we're hitting kind of at that point of equilibrium just given the capital and competition you're seeing in the market, or do you think that we could actually see more compression just given that elevated level capital of different providers stepping into the market?
Rajneesh Vig: Yeah. I mean, I'll take -- try and take that and ask  to add any comments. I don't know if the phrase equilibrium, whether it's since 2020 or since I joined over a decade and a half ago. It feels like it's -- there's a very consistent level of activity. It's just a question of what that activity looks like.  I also want to be careful and avoid making any broader market comments because where we position, where we look for deals, we tend not to be just searching the broader market and so our dynamic is really defined by our pipeline and where we're sourcing our deals from which may not be as reflective.  But I think in terms of our deals and just the activity level, it feels -- it clearly feels like things are recovered inactivity. As you mentioned in the earnings script terms and what people are looking for has retraced their character to pre-pandemic levels and tasks, if you will.But at the same time, we're also saying no to lots of deals and focusing on the ones that work for our portfolio at our business.  So whether it's an equilibrium in the market or it's something that's going to have additional compression, what we will do is really what we feel works for us where we can get the right terms and pricing, where we can stay disciplined and do the right work.  And that may or may not coincide with the broader market, but I do think we've seen a good stabilization in our portfolio. But LIBOR has been a very different dynamic that we've got to sort of account for. And that may mean more deal activity, it may mean less, but we're just going to focus on our pipeline and the things that we can control.
Devin Ryan: Okay, terrific. Great color, thank you. And then a follow-up. Just looking at the overall asset mix of the portfolio, you've clearly benefited from the strong performance on the equity side, and I believe equity  is now 11% of assets after the event on sales.  Be great if you could get a little color around how you're thinking about, the asset mix moving forward. Do you think that we should expect to see more monetization of the equities position? Maybe that makes moves back to where it was pre -2020, which I believe was in the mid-single-digit level of the overall portfolio.
Rajneesh Vig: Yeah, we are against the credit business. We are focused on credit instruments. It is the primary strategy where we have equity. It's a function of either some ability to have warrants or things that convert into that or it's a function of something like inventing somewhere.  The path to defending our capital is defined by converting to a different instrument, which is really the exception, not the rule. Fortunately, those -- a number of those have worked out, in some cases very well.  But I would say, in terms of normal course activity, you should expect this to be a debt -- primarily a senior secured debt portfolio, occasionally,  things need a little bit of different type of work or activity that may result in equity, but if that is really not the primary focus, that is a function of protecting the portfolio versus deploying it in an original investment.
Devin Ryan: Okay. Terrific. I'll leave it there, thanks so much.
A –Howard Levkowitz: Thank you and thanks for joining us today.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Howard Levkowitz for any closing remarks.
Howard Levkowitz: We appreciate your questions in our dialogue today. I'd like to once again thank all of our Shareholders s for your confidence and your support. I would also like to, again, thank our experienced and talented team of professionals at BlackRock TCP Capital Corp for your continued hard work and dedication. Thanks for joining us today. This concludes our call.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.